Operator: Greetings and welcome to The Container Store Fourth Quarter 2022 Earnings Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host Caitlin Churchill of Investor Relations. Thank you. You may begin.
Caitlin Churchill: Good afternoon, everyone, and thanks for joining us today for The Container Store's fourth quarter and fiscal year 2022 earnings results conference call. Speaking today are Satish Malhotra, Chief Executive Officer; and Jeff Miller, Chief Financial Officer. After Satish and Jeff have made their formal remarks, we will open the call to questions. Before we begin, I would like to remind everyone that certain matters discussed in today's conference call are forward-looking statements relating to future events, management's plans and objectives for the business and the future financial performance of the company that are subject to risks and uncertainties. Actual results could differ materially from those anticipated in these forward-looking statements. The risk factors that may affect results are referred to in The Container Store's press release issued today and in our annual report on Form 10-K filed with the SEC on June 2nd, 2022, as updated by our quarterly reports on Form 10-Q and other public filings with the US Securities and Exchange Commission. The forward-looking statements made today are as of the date of this call and The Container Store does not undertake any obligation to update their forward-looking statements. Finally, the speakers may refer to certain adjusted or non-GAAP financial measures on this call. A reconciliation schedule of the non-GAAP financial measures to the most directly comparable GAAP measure is also available in The Container Store's press release issued today. A copy of today's press release and investor deck may be obtained by visiting the Investor Relations page of the website at www.containerstore.com. I will now turn the call over to Satish.
Satish Malhotra: Thank you, Caitlin, and thank you all for joining our call today. I'll begin today's discussion by reviewing highlights from our fourth quarter performance and the great progress we made in fiscal 2022 against our strategic initiatives, before discussing our current views and plans for 2023. Jeff will then review the details of our fourth quarter financial results, followed by our outlook. We will then open up the call to questions. Excluding the impact of non-cash impairment of goodwill, we delivered results for the quarter in line with our expectations. This included the anticipated decline in general merchandise and Elfa Custom Space sales as a result of slower traffic and customers purchasing fewer spaces. As a reminder, we were up against a tough comparison given our decision to not anniversary a very successful 2/22/2022 event from last year. Along with the strategic discontinuation of our Closet Works wholesale business. Given these factors and the ongoing challenging macroeconomic environment, fourth quarter consolidated net sales declined 15% and adjusted earnings per diluted share was $0.18 compared to $0.46 in the prior year. During the fourth quarter and throughout fiscal 2022, despite the backdrop, we maintained a strong focus on executing our strategic initiatives of deepening our relationship with customers, expanding our reach and strengthening our capabilities. The following accomplishments would not have been possible without the unwavering support from our teams and their efforts allowed us to plant numerous seeds for future growth. In fiscal 2022, we launched multiple new large scale programs to improve our product offering and customer experience. Five noteworthy accomplishments I want to discuss today include launching The Container Store Custom Spaces Branding and Preston Product Offering, introducing new product categories to give customers a compelling reason to shop, significantly improving our e-commerce experience, relaunching our Loyalty program and opening new small format stores in key markets. During the year, we introduced new branding custom spaces to move our offering beyond closets to key areas of the home, including closets, living and garage spaces. In addition, we brought to market a newest premium wood based line Preston. We added a minimum of two Preston displays to all stores in our custom space studio and created a new destination on our website for customers to find inspiration and to connect with our newly established in-home design specialist. During fiscal 2022, we had an average of 95 in-home design specialists who sold $75 million in total sales with more than a quarter of them selling over $1 million each in custom spaces. We began refining our general merchandise assortment to not only drive profitability, but also to make room for new products that complement our core storage and organization solutions. We successfully launched several new categories to further entice customers and we're pleased with their performance thus far. These categories include home fragrances, sustainable cleaners and our new private label, Everything Organized Collection, which features patent pending designs. Also, we are very proud to have recently been named to Forbes' Customer Experience All-Stars list, which we believe is a testament to our strong retail net promoter score of 80 in Q4. To create a flagship experience across our brand touchpoints, we significantly improved our e-commerce platforms. During the year, we enhanced our BOPIS experience, which recently drove a record level BOPIS Net Promoter score of 72 and we rolled out Express Checkout to all stores, which now accounts for 20% of all store transactions. We're also pleased with the response to our mobile app as we've seen over 450,000 1st time downloads and a 4.8 star rating in the Apple App Store. Additionally, we improved the functionality and design of our website, including over 40% faster page speeds, timely customer communications and a redesign of our navigation and is now easier than ever to search, shop and check out online or to connect with an in-home custom space designer. Regarding our Loyalty program, we launched Organized Insider this past year to not only attract new customers, but also to reward a deeper level of engagement with existing customers. The new Loyalty program has been well received and accounted for nearly 80% of total sales in fiscal 2022 and a 57% higher average ticket than non-Loyalty members. During the fiscal year, we enrolled nearly 900,000 new members to our program and with our new Vice President of Loyalty in place we're looking forward to continuing to refine our program to further increase customer engagement. Finally, we are pleased to have opened three new small format stores this past year in Colorado Springs, Colorado, Salem, New Hampshire and Thousand Oaks, California. We are encouraged by the customer response to our new small format stores, as illustrated by our strong NPS scores, which recently for the month of April averaged 87 across all three, which gives us continued confidence in our long-term store expansion goals. As we look to fiscal 2023, we expect it to be a tough year considering the intensified macroeconomic headwinds which are driving reduced traffic and lower average tickets. Despite this backdrop, we remain committed to investing in our long-term growth prospects while still proactively managing our cost structure. We believe the actions we are taking position us well to deliver on our goal of low double-digit operating margins when the macroeconomic environment improves. As we continue to focus on gaining market share in spaces over $2,000, which is an important enabler of our path to $2 billion in revenue, we aim to bring better awareness to our new custom space branding and provide a whole home solution to our customers. We plan to increase the number of in-home designers to 150 this year with design training focused on selling premium spaces. In addition, we plan to build on the success Preston is having and we have product enhancements planned for the year, including premium in draw and toe kick lighting, mirrored glass, aluminium frame doors, slim shaker profiles and new on trend colors like night sky blue and lakeshore green. This year, our custom space campaigns are expected to not focus on an individual line, but afford customers discount on any of our three lines. Elfa, Avera or Preston and are plan to be evenly spaced throughout the year. We also are working to create a custom spaces portal for customers to review their design, sign their purchase agreement, manage their payment and track the status of the custom space life cycle from inspiration to installation. We are also exploring the ability for customers to experience their design space through virtual reality technology so they can visualize and interact with their space, making their purchasing decision easier. VR technology also enables us to showcase custom space finishes and accessories that we may not carry in every store. And we intend to start piloting this in late fall. As we look at general merchandise under the leadership of our new Chief Merchant, we are focused on continuing to refine our assortment in a manner that best aligns with our customers shopping journey and has the most potential for growth, including college, travel, dining and entertaining and home decor. We strategically started our college campaign earlier this year to align with parent and student prep timelines, and we're thrilled to offer new college essentials like a single serve coffee maker, sleek desk lamps, vintage fans and essential oil diffusers. For the second year, we are partnering with Dormify the online destination for dorm decor. The partnership is expected to expand this year with five of our stores in key college markets featuring Dormify pop-up shops with selections of on trend mix and match bedding and more. We're also excited about the ability to dropship Dormify products from our website beginning in Q1. The benefit of dropship allows us to expand our assortment without having to carry additional inventory and we intend to expand this capability with additional vendors quickly thereafter. With regard to new product, we anticipate introducing nearly 1000 new SKUs this year from innovative brands such as Cadence and Canopy, both of which are entering brick and mortar stores for the very first time. The Cadence travel system will be exclusive to us and features customizable, magnetic and leakproof capsules to store personal care products in. As part of our college assortment, the Canopy humidifier features no-mist technology, which is free from bacteria and particles, creating an optimized environment for beauty and wellness. These products will bring notable newness to The Container Store and we are proud to partner with and help grow these innovative brands that have demonstrated success selling directly to customers. While we intend to continue focusing on our core offering of storage and organization, we are excited for this newness we are infusing into our assortment and we intend to embark on a new campaign to demonstrate to customers how our curated, innovative and solution oriented products can help transform their lives. We tend to strengthen our e-commerce presence with a focus on expanded content and storytelling, introducing new ways to shop and enhancing our custom space and mobile app experience. Our content aims to highlight what makes products unique and encompasses more videos across our product detail pages. New ways to shop online include a college shop with a frictionless one click experience so students or parents can add curated and bundled dorm essentials to their cart with ease. In addition, we're working on a new arrivals online experience where customers can see and shop the amazing new products we're offering and we anticipate launching this soon. Taking customer feedback into account, we plan to consolidate orders, so they are receiving fewer boxes and provide new ways to make appointments with our in-home designers throughout the site. Regarding new stores, we expect to open six new stores during fiscal 2023 versus our original expectation of nine stores due to delayed timelines given the current environment. The three stores that were originally slated for the end of the fourth quarter of fiscal 2023 are now expected to open in early fiscal 2024. We still believe there is substantial white space and a path to open at least 76 new stores over time. We expect and are planning for the challenging macro headwinds to continue for the entirety of this fiscal year, with sales decline being more pronounced in the first half while still negative than the second half. We are cognizant of the importance of cost management and are continuing to evaluate all areas of our business to ensure an efficient cost structure to position us well to deliver our long-term goal of low double-digit operating margins. We are prioritizing investments in the areas of the business that have continued to drive strong productivity while also investing in our strategic initiatives, which we believe will position us well to gain market share when the macro environment improves. With that said, we made the very difficult decision to take immediate cost management action, including elimination of open roles and a reduction of force of approximately 15% at our support center and less than 3% at our store and distribution center operations. These actions are intended to keep our SG&A expenses just below 50% of consolidated sales in fiscal 2023. Despite these difficult decisions, we have a solid foundation and the right teams in place to make progress towards our long-term goal of $2 billion in sales and low double-digit operating margins. With that, I'll hand it over to Jeff to discuss our results and outlook in more detail. Jeff?
Jeff Miller: Thank you, Satish, and good afternoon, everyone. As Satish reviewed, after excluding the impact of goodwill impairment, we delivered fourth quarter results in line with our expectations despite the challenging macro environment and unique sales headwinds we faced due to not anniversary our 2/22/2022 event from last year and the discontinuation of the Closet Works wholesale business. Consolidated net sales decreased 15% year-over-year to $259.7 million, including a 430 basis points negative impact from the unique sales headwinds I just mentioned. By segment, net sales for The Container Store retail business were $245.5 million or 14.3% decrease compared to $286.5 million last year. The decrease is inclusive of a comp store sales decrease of 13.1%, driven by the 14.2% decline in our general merchandise categories, which negatively impacted comp store sales by 870 basis points. Custom spaces comp store sales declined 11.4% compared to fiscal 2021 and negatively impacted comp store sales by 440 basis points. The discontinuation of the Closet Works wholesale business in fiscal 2022, partially offset by sales from new stores made up the remaining 120 basis points to the total 14.3% TCS net sales decline year-over-year. For the fourth quarter of fiscal 2022, our online channel decreased 6.2% year-over-year, and our website-generated sales, which includes curbside pickup, decreased 8.3% compared to last year. Website-generated sales represented a total of 24% of TCS net sales in Q4 compared to 22.4% in Q4 last year. Unearned revenue decreased to $15.7 million in Q4 this year versus $22.6 million last year driven by the pullback in customer spending that we are experiencing. Elfa third-party net sales of $14.2 million decreased 25.3% compared to the fourth quarter of fiscal 2021. Excluding the impact of foreign currency translation, Elfa third-party net sales decreased 17% year-over-year primarily due to a decline in sales in the Nordic markets and Russia. From a profitability standpoint, our consolidated gross margin for Q4 increased 190 basis points to 58.9% compared to 57% last year. By segment, TCS gross margin increased 50 basis points compared to last year, primarily due to decreased freight costs and favorable product and services mix, partially offset by a more promotional discounting. Elfa gross margin increased 200 basis points compared to last year, primarily due to price increases, partially offset by higher direct material costs. Consolidated SG&A dollars decreased to $124.3 million compared to $127.1 million in Q4 last year. As a percentage of sales, SG&A increased 630 basis points year-over-year to 47.9%. The increase is primarily due to the deleverage of compensation and benefits, occupancy and other costs on lower sales. During the fourth quarter, we conducted impairment tests of goodwill and indefinite-lived intangible assets and determined there was a total noncash impairment of goodwill in the amount of $197.7 million. Our net interest expense in the fourth quarter of fiscal 2022 increased to $4.8 million compared to $3.2 million last year. The year-over-year increase is due to a higher interest rate on our term loan and interest on borrowings on the revolving credit facility. The effective tax rate for the quarter was negative 1.7% compared to 31.5% in the fourth quarter last year. The decrease in the effective tax rate is primarily related to impairment charges taken during the fourth quarter, which negatively impacted the effective tax rate by 292 basis points. Net loss for the quarter on a GAAP basis, inclusive of the $197.7 million goodwill impairment charge, was $189.2 million or $3.85 per diluted share as compared to GAAP net income of $23.2 million or $0.46 per diluted share in the fourth quarter of last year. Adjusted net income was $8.8 million or $0.18 per diluted share as compared to last year's adjusted net income of $23.2 million or $0.46 per diluted share. Our adjusted EBITDA decreased to $29.2 million in the fourth quarter this year compared to $46.4 million in Q4 last year. With respect to the full year, consolidated net sales declined 4.3% to $1.05 billion and GAAP net loss was $158.9 million or $3.21 per diluted share. Adjusted net income was $37.2 million or $0.75 per diluted share. Turning to our balance sheet. We ended the quarter with $7 million in cash, $167.9 million of total debt and total liquidity, including availability on our revolving credit facilities of $107 million. Our current leverage ratio is 1.4 times. We ended the quarter with consolidated inventory down 11.5% compared to the fourth quarter last year. The decline is the result of our prudent actions to reduce inventory purchases given the pullback in customer spending we are experiencing and expect to continue to see given the challenging macro environment as well as lower freight costs. Capital expenditures were $64.2 million in fiscal 2022 versus $33.4 million in fiscal 2021, with the increase related primarily to investments in our stores and technology. Free cash flow this year was a use of $4.9 million versus $23.6 million generated last year. Now for our outlook. For the first quarter of fiscal 2023, we expect consolidated net sales to be approximately $200 million to $210 million, driven primarily by a comparable store sales decline in the 23% to 19% range. The expected consolidated revenue declines were also inclusive of a 250 basis point impact for the strategic discontinuation of our Closet Works wholesale business and, to a lesser extent, continued Elfa third-party sales headwinds. New store sales are expected to partially offset the impact of these headwinds. We expect net loss per diluted share in the first quarter to be in the range of $0.19 to $0.13. After adjusting for an estimated $2 million of severance expense associated with the previously mentioned reductions in force, we expect adjusted net loss per diluted share to be in the range of $0.16 to $0.10. The implied year-over-year operating margin decline for the first quarter is expected to be more than entirely driven by SG&A expense due to fixed cost deleverage on lower sales. From a gross margin perspective, favorable product mix and freight are expected to be moderate tailwinds to gross margin in the first quarter. Interest expense for the first quarter is expected to be approximately $5 million, driven by higher interest rates and our effective tax rate is expected to be approximately 30%. With respect to fiscal 2023, we expect consolidated net sales in the range of $885 million to $900 million, driven primarily by comparable store sales declines in the mid to high teens. We expect more significant declines in comparable store sales in the first half of the fiscal year than the second half. This outlook also assumes a 100 basis point benefit related to the impact of new stores, inclusive of a partial offset due to the strategic discontinuation of our Closet Works wholesale business and continued Elfa third-party sales headwinds. From a gross margin perspective, favorable product mix and freight are expected to be moderate tailwinds to gross margin in fiscal 2023, partially offset by a more promotional environment. Our outlook, therefore, assumes a gross profit range of $525 million to $540 million. In an effort to minimize SG&A expense deleverage in this difficult macro environment, we made the decision to take immediate and proactive measures to reduce costs while still investing in our strategic initiatives. Our proactive cost reducing actions include the previously mentioned elimination of our support center open roles and an almost 15% reduction in force at our support center. Furthermore, there is a planned reduction in force at our store and distribution center operations by less than 3% and reduced scheduled hours in line with current customer trends. In addition to payroll-related actions, we are proactively reducing marketing and other costs with the goal of keeping our SG&A expense as a percent of sales slightly below 50% for the full fiscal year. The total dollar impact of these actions on a quarterly basis are expected to reduce overall SG&A expense by approximately $10 million per quarter compared to last year, with the fourth quarter total dollar savings being slightly higher. For the full fiscal year, total SG&A reductions are expected to be almost $45 million when compared to last year. Our outlook assumes operating margins of approximately 4% or $32 million to $40 million in operating profit. We expect net income per diluted share in fiscal 2023 to be in the range of $0.07 to $0.17. After adjusting for the estimated $2 million of severance expense previously mentioned as well as an approximate $5.6 million of discrete income tax expense expected to be recorded in the third quarter of fiscal 2023 related to the expiration of certain stock options granted in connection with our initial public offering in 2013. We expect adjusted net income per diluted share to be in the range of $0.21 to $0.31. Capital expenditures are expected to be approximately $45 million to $50 million. And with this outlook, we aim to be free cash flow positive in fiscal 2023. Almost half of our planned capital expenditures are related to new stores planned to be opened in fiscal 2023 or the first quarter of 2024. We had previously communicated plans to open nine stores in fiscal 2023 as a result of delayed time lines due to the current environment, we now plan to open six stores primarily in the second half of fiscal 2023 and three new stores in the first quarter of fiscal 2024. The remaining capital is related to investment in e-commerce, technology infrastructure and software projects and, to a lesser extent, maintenance. Interest expense for fiscal 2023 is expected to be approximately $20 million, driven by higher interest rates. Our effective tax rate is expected to be in the range of 60% to 75%, which is inclusive of the previously mentioned discrete income tax expense expected to be recorded in the third quarter of fiscal 2023. We remain committed to delivering on our long-term goal of $2 billion in sales and low double-digit operating margins. Though the duration of the current macro headwinds has impacted our originally contemplated time line for achieving these goals. This concludes our prepared remarks. I'll now turn it over to the operator to begin the Q&A session.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Thank you. Our first question comes from Steven Forbes with Guggenheim. Please proceed with your question.
Anders Myhre: Thanks, Satish, Jeff. This is Anders Myhre on for Steven Forbes. Given the 2023 comp outlook, how will the event calendar look in 2023 compared to 2022? And do you expect to test price elasticity during 2023 or are you more committed to holding retail price levels?
Satish Malhotra: Yes. Thank you for the question. I'll answer that in a couple of ways. First, what I will say is that our Q1 and full year guide still kind of continues to contend with the discontinuation of our Closet Works wholesale business, but also considers a more pronounced decline in customer traffic and average basket and transactions. And as you know, we believe that this small pronounced decline is really due to the current macro environment of higher interest rates and economic uncertainty that has resulted in customers reducing their discretionary spend. So as we think about our Q1 and full year guide, we will continue to be prudent with our promotional cadence. We are very thoughtful about ensuring that our customers have an opportunity to save more when they spend more with us and also allowing them to benefit from a whole home approach by saving across all of our lines during our custom space campaigns versus only one specific line. In fact, just recently, we ran a six-day promotion for our customers where they had the opportunity to buy one and get one at 50% for general merchandise and that event was actually quite successful in driving incremental gross profit. So we'll continue to understand the reaction of our customers during these very tough economic times and offering, again, incentives for them to purchase while still being mindful of profitable growth.
Anders Myhre: Great. Yeah that all makes sense. And secondly can you break down the mid to high teens comp guidance between the core categories of custom spaces and general merchandise for the full year?
Jeff Miller: Yeah. This is Jeff. Looking at the full fiscal year, the mid to high teen guide for the year the assumptions underlying is that general merchandise, it will be more challenged during the year than our custom spaces. But I would say that both lines -- both categories will be challenged throughout the entire year.
Anders Myhre: Understood. Thank you.
Operator: Thank you. Our next question is from Ryan Meyers with Lake Street Capital Markets. Please proceed with your question.
Ryan Meyers: Hey, guys. Thanks for taking my question. First one for me, the three store openings that we've already had now. I'm curious if you could give us some commentary on what you guys have seen as far as traffic levels, demand, ticket prices relative to the other store base. And if you see some of these smaller format stores really kind of taking off like you thought that they would.
Satish Malhotra: Yeah. Thanks for the question, Ryan. This is Satish. I would say, look, we're generally really pleased with the three stores that we opened in fiscal '22. We continue to attract new customers, almost 60% new across the three of them. And they are delivering superior Net Promoter Scores, as we mentioned, to date, it's 87 for April. And we're actually seeing also a very healthy custom space penetration across the three in total, almost at 37% of sales. So generally, I'd say, we're pleased with the performance. Obviously, it's still against a very tough macro environment. And hence why we are still bullish and committed to opening six new stores for fiscal '23. We still believe in growth expansion and we definitely see a path to opening at least 76 because we still believe there's tremendous amount of white space out there. .
Jeff Miller: Yeah, I would just add to that, the six stores that we're planning in fiscal '23, three of which are build-to-suit and three of them are full capital investments. So when we look at the excitement around the store expansion what we're seeing from a new customer engagement, which is part of our overall strategy as we build out the marketplace and the level of custom spaces adoption by those customers in these new markets is encouraging to us. Typically, it takes a little bit longer runway for us to build in the custom space business. But so far results are promising despite the macro environment.
Ryan Meyers: Got it. And then just kind of thinking about that sort of commentary on the six new store openings down from the nine new store openings, I know you guys said that there's delays out there. But just wondering if you could kind of unpack that a little bit, I mean, do you feel like there's -- of the three stores that you're not going to open this year anymore, you felt like maybe in that specific geography, does it make sense to open them or you're having a challenging time getting inventory or staffing or what is it just a little bit more detail around those delays, I think, it would be helpful.
Jeff Miller: Hey, Ryan, it's just a matter of timing. When you're putting together this many deals and different pieces, different reasons for each one, but they're pushing -- we expect those to be pushed into Q1 of 2024, given the fact that these were slated to open at the very end of Q4 of fiscal '23, it's not a huge push, but it's outside the fiscal year.
Ryan Meyers: Okay. Got it. Thanks for taking my questions.
Operator: Thank you. [Operator Instructions] Our next question comes from Kate McShane with Goldman Sachs. Please proceed with your question.
Kate McShane: Hi. Good afternoon. Thanks for taking our question. Two questions from us. One, I was wondering if you could maybe walk us through the cadence of comps during the quarter when maybe you saw the weaker months during the quarter? And then the second question is around inventory. How are you feeling about the quality of inventory you have on the books today, that's coming in versus maybe what your expectation is now for comp and how you plan to manage that?
Jeff Miller: Yeah, Kate. Thanks for the question. When we look at the cadence of the quarter, the first couple of months were relatively consistent. We really saw a drop off. We were experiencing lower traffic volumes. We talked about that on our Q3 call. We saw a notable decline in that during the month of March and we continue to see that in the month of April, which is what's driving our outlook view. So definitely got more challenging in the month of March. Thinking about inventory, we are actively monitoring our inventory levels, adjusting our buys for demand in relation to demand. And so right now we feel really good about our in-stock inventory levels being appropriate for what we're targeting.
Satish Malhotra: Yeah, and I would just add This is Satish. I'd just add we still believe that we've got great growth opportunities that complement our core storage and organization solutions as well when it comes to inventory really pleased with the results we're seeing from home fragrance, plant-based cleaners and I knew everything organized a collection. And as I mentioned, we see even more growth categories coming in travel, home decor, dining and entertainment. Back-to-school also presents us with a great opportunity for us to not only capitalize on our Dormify partnership, but also bring in new essentials, as I mentioned earlier, like vintage fans and coffee makers and diffusers and we are very excited about our soon to be launched dropship capabilities that allow us to expand our assortment with current vendors and into new categories without having to carry the inventory.
Kate McShane: Thank you.
Operator: Thank you. Our next question is from Chris Horvers with JPMorgan. Please proceed with your question.
Christopher Horvers: Thanks. Good morning, guys. So I just want to follow up on how the consumer's behavior has changed. I think in the last call, you talked about the consumer is still engaging on the Custom Closet side, it was just simply, not simply, but doing two instead of four or one instead of three. So how has that changed? And is it -- is it like the traffic trend has deteriorated further are you seeing some trade down in terms of the types of closets projects that the consumer is taking on and then anything in terms of the number of custom closets that they might be doing.
Satish Malhotra: Yeah, hi, Chris, look, a few comments, some that we've already stated before. I mean, generally, the customer that we're seeing right now is contending with even more with the high interest rates and economic uncertainty. And so they're pulling back on their discretionary spending. I wouldn't say we see them trading down. We see our custom space is still performing well for us, in particular, our Preston and Avera line which is our more premium spaces. But there, in this current environment, and we are in a discretionary category, they are just thinking about when and how to make those purchases in this current environment. Traffic is, I would say, it's still double-digit down. We have seen a reduction in average ticket. When we give customers a compelling reason to come back, whether it's newness or back to college or a promotional campaign, they definitely do engage with us. And so we continue to try to understand the psychological nature of our customers and how best to engage with what they're having to contend with today with the offering that we have.
Christopher Horvers: Understood. And then just on the April side, I have two follow-ups. So one on the April side, there's some well-documented tax refund headwinds that really were acute to March and got less in April and a lot of retailers have seen some improvement in terms of the April trend? Do you think tax refunds had any impact in your business? And have you seen any sort of less worsening in April?
Jeff Miller: Chris, what I would say is that we've not historically seen impacts for tax refunds just given our customer demographic historically. So I wouldn't necessarily say that -- we noted something specifically related to that in the month of April. I would say the May trends continue in line with what we're expecting towards the entire quarter and we'll just see how it plays out.
Christopher Horvers: Got it. And then just my one last one, which is a lot of product that comes over on ocean freight you're seeing on the furniture side, some deflation set in as that drove such a surge on the cost of importing those items. How are you handling ocean freight receiving. Obviously, you're seeing gross margin benefits, but are you also taking reinvesting some in price?
Jeff Miller: Yeah, Chris, we are seeing reduced freight rates on the ocean side and we're starting to see that average into our inventory, which I would say is -- it won't be as pronounced in the first quarter, but it will be more pronounced as we get further into the year, into the fiscal year. Especially when you think about the first quarter gross margins being around the fact in comparison to Q4 the betterment we had in Q4 was really driven around the anniversary of a 2/22 event that also drove a lot of gen merch in the prior previous year and a lot more online selling with higher freight costs. So the 190 basis point improvement that we saw in Q4, I wouldn't expect to see that level in Q1 but as we move through the fiscal year, we're certainly seeing moderate tailwinds related to freight and the product mixes that we've assumed through the fiscal year.
Christopher Horvers: And then just on the pricing, how you're thinking about pricing like Elfa, I'm assuming comes over on a boat.
Jeff Miller: Yeah, from a pricing and promotional perspective, we're looking at, as Satish mentioned, we're looking at different ways to engage our customer, making sure the more they engage, the more they save and finding ways to engage them such that we can drive overall profitability. So we're not necessarily taking price to take price, but we're looking at it more from an overall profitability perspective. And I would say that goes for both the general merchandise side and the customer space side. This fiscal year, fiscal '23, we mentioned on the call that we are going to have all three of our lines on promotion together featuring custom spaces throughout the home, which is a different promotional strategy that we'll have in each quarter of the year than what we've historically done, which has been each particular line on promotion with the others not. So there is a little bit of shift in strategy from that perspective.
Christopher Horvers: Understood. Thanks very much.
Operator: Thank you. There are no further questions at this time. I would like to turn the floor back over to CEO, Satish Malhotra for closing comments.
Satish Malhotra: Yeah. I just wanted to say, once again, thank you for joining us today and wish you a very good night.
Operator: Thank you. This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.